Operator: Good morning and welcome to the AdvanSix Second Quarter 2020 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mr. Adam Kressel, Director of Investor Relations. Please go ahead, sir.
Adam Kressel: Thank you, Brandon. Good morning, and welcome to AdvanSix's second quarter 2020 earnings conference call. With me here today are President and CEO, Erin Kane; and Senior Vice President and CFO, Michael Preston. This call and webcast, including any non-GAAP reconciliations, are available on our website at investors.advansix.com. Note that elements of this presentation contain forward-looking statements that are based on our best view of the world and of our business as we see it today. Those elements can change and the actual results could differ materially from those projected, and we ask that you consider them in that light. We refer you to the forward-looking statements included in our press release and earnings presentation. In addition, we identify the principal risks and uncertainties that affect our performance in our SEC filings including our annual report on Form 10-K as further updated in subsequent filings with the SEC. This morning, we'll review our financial results for the first quarter and share our thoughts on the COVID-19 pandemic, and outlook for our key product lines and end markets. Finally, we'll leave time for your questions at the end. So with that, I'll turn the call over to AdvanSix's President and CEO, Erin Kane.
Erin Kane: Thanks, Adam, and good morning, everyone. Thank you for joining us and for your continued interest in AdvanSix. So first, I'd like to start off the call by once again offering our best wishes to all who have been affected by the COVID-19 pandemic. I hope that everyone listening today, as well as our families and co-workers are healthy and staying safe. I would also like to acknowledge our 1,500 teammates at AdvanSix. We knew early on that the chemical industry and our business will be deemed essential and our entire team has lived up to that calling. We continue to deliver for our customers by driving safe, stable and sustainable operations. During the second quarter we continue to execute our business continuity and mitigation plans with a focus on health and safety, including among other actions on-site medical personnel to actively monitor employees and contractors, thermal screening, social distancing measures, telecommuting, and upgraded personal protective equipment and face coverings at all facilities. We are very pleased with the results our practices and protocols are delivering. Michael will detail our second quarter financials in a moment where we believe our results reflect the resilience and strength of our business model, vertically integrated asset base and global low-cost advantage. Notably, we were able to improve earnings sequentially from the first quarter despite the impacts of COVID-19. In the face of a challenging end market environment, I'm also encouraged by the sequential improvement we saw month-to-month within the second quarter in terms of both industry demand as well as our own operating rates. For perspective our Hopewell utilization rates in April, were roughly 70% followed by nearly 85% in May in June, bringing up to roughly 80% capacity utilization for the quarter in total. Early here in the third quarter, we've seen further improvement and are nearly approaching our normalized target rates. Our diverse portfolio including granular ammonium sulfate sold into the heart of the domestic planting season and acetone use for items such as hand sanitizer and acrylic screens continued to support us as we navigated through weak nylon industry conditions. Looking forward to the second half, we are ramping up preparations for the start of our third quarter planned plant turnaround, which is primarily focused around our ammonia plants. We have taken a number of steps to ensure the health and safety of our employees and contractors as well as our assets. From a product line perspective, while we expect a challenging nylon demand environment to continue, we've been actively working to optimize our mix across end users, applications and geographies, to position the business for success. In ammonium sulfate, following the strong domestic demand in the second quarter, we do expect typical seasonality to drive a normal sequential pricing and mixed decline in the third quarter. And in chemical intermediates we expect the favorable acetone industry supply and demand balance to continue, while also benefiting from ongoing investments in high purity applications and other differentiated products within this portfolio. We also remain confident in our financial position. As we anticipated at the end of the second quarter, we had approximately $109 million in available liquidity between cash on hand and additional capacity under our revolving credit facility. Overall, a very similar position to where we ended the first quarter despite the challenging environment in which we're operating in. We do continue to expect positive free cash flow for the second half and full year supported by targeted reduction of capital expenditures, anticipated working capital improvements and receipt of cash tax benefits associated with the CARES Act. We're also taking a disciplined approach to cost management and have increased our expected cost reduction for the full year to range at $15 million to $20 million compared to 2019, in addition to the benefits associated with our natural gas boiler investment. So overall, we're driving productivity and cost savings to help mitigate the volume and price impacts of the dynamic markets we are navigating. During this unique time, we're committed to driving best possible outcomes and optimizing levers in our control to create shareholder value. I continue to be inspired by the teamwork, innovation and nimble decision making that is happening across our organization. With that, I'll turn it over to Mike to discuss the details of the quarter.
Michael Preston: Okay, thanks, Erin, and good morning. Now on Slide 4, we'll now review of the second quarter financial results. And overall, I'd say we're very proud of our performance and execution in one of the most challenging environments that we've ever faced. This is again a reflection of the strength of our business model that enables us to perform well in challenging end market conditions. Now, turning to the financials sales reached 233 million in the quarter. That's down about 33% compared to last year. Pricing overall was down about 14% primarily due to the lower – to lower raw material pass through pricing, which was unfavorable by about 11%. Market based pricing was unfavorable by about 3%, reflecting challenging end market conditions in our caprolactam and nylon product lines and lower sales prices in ammonium sulfate. This was partially offset by improved industry dynamics in chemical intermediates, particularly acetone. We also experienced lower demand, particularly in nylon, caprolactam and phenol, resulting in approximately 19% decrease in our overall sales volume primarily related to the global markets and also the economic impact of COVID-19. EBITDA was 31 million in the quarter. That's down about 5 million versus the prior year, but notably up compared to the first quarter of 2020. And I'll walk through the key year-over-year variances on the next slide. Earnings per share of $0.41 decreased $0.12 versus the prior year. You'll notice the effective tax rate of 16.6% in the quarter was lower compared to last year. That was driven primarily by the impact of changes in geographical sales mix on state tax and additional research tax credits. We continue to expect the full year tax rate to be approximately 25%. The second quarter share count was 28.1 million compared to 29.1 million in the prior year period. And lastly, cash from operations reached 9 million in the quarter. That's down about 16 million compared to last year, primarily due to lower net income and the unfavorable impact of changes in working. CapEx of 18 million was favorable by roughly 14 million year-over-year following the completion of several high returns growth and cost savings investments as well as disciplined management of our repair and maintenance spend. Now, let's turn to Slide 5. As we shared last quarter, we thought it would be helpful to highlight a few of the key drivers of our EBITDA performance from a year-over-year perspective. Pricing of raw materials was roughly a $4 million headwind year-over-year. This reflected an approximately 12 million market-based pricing decline partially offset by a roughly $8 million benefit from lower input costs, namely natural gas and sulfur. Tracking our key variable margin drivers, we saw continued net price of raws pressure across caprolactam and nylon relative to benzene inputs, reflecting challenging year-over-year industry conditions. This was partially offset by resilience in both ammonium sulfate net of natural gas and sulfur and acetone spread over propylene. Lower volume and other items represented roughly a $19 million headwind versus last year, primarily reflecting lower demand in nylon, caprolactam and phenol as a result of global markets and the economic impact of COVID-19, which drove a reduction of plant utilization rates and a decrease in overall sales volume. Recognizing this year's challenges, we've been tightening our belts really across the entire business, resulting in noteworthy productivity contributions from a year-over-year perspective. Productivity and cost savings reached 11 million compared to the second quarter of 2019. And that includes ongoing benefits from our natural gas boiler investment, plant cost actions and lower SG&A expense. In addition to benefits associated with our high return natural gas boiler investment, we are targeting 15 million to 20 million of cost reductions for the full year compared to 2019 as Erin mentioned. The cumene impact following the shutdown of PES represented and approximately $4 million impact in the quarter as we've realigned our supply chain to ensure continuity of supply, and the impact of the planned plant turnarounds was a $2 million headwind to year-over-year. Lastly, as you recall, we recognized an approximately $12.6 million pre-tax restructuring charge in the second quarter of 2019, associated with the closure of our Pottsville, Pennsylvania films manufacturing facility. So let's turn to the next slide. Similar to last quarter, we've included our typical pricing and spreads across our product lines all together here on Slide 6. Consistent with our results, global caprolactam spreads over benzene continue to decline sharply on a year-over-year basis in the second quarter. The declines reflect the continued weak demand environment across most major end users, and what has been an oversupplied industry globally. We've seen benzene cost modestly increased Freeze of the recent lows experienced late first quarter early second quarter, which the caprolactam prices more closely followed. As seen in the past, downstream resin prices can tend to lag in aligning with changes in upstream caprolactam over bending and spreads. As we've had highlighted in the last quarter, we've seen the resin over caprolactam spreads correct back to the typical $200 to $300 range per ton through the second quarter. And despite the year-over-year decline in Asia benzene and capro spreads, which hovered around $600 per ton in the quarter, we've seen some stabilization sequentially, and we'll see easier comparisons as we move toward the end of the year. Overall nitrogen industry pricing has also declined on a year-over-year basis, reflecting the impact of lower global energy prices. It's important to normalize pricing as urea contains 46% nitrogen, whereas ammonium sulfate contains 21% nitrogen. Based on third party data we've seen more modest ammonium sulfate industry price movement as compared to recent urea pricing, which as you recall in the latest – is the largest nitrogen fertilizer by total consumption. Relative to last year's late planting because of wet weather, we saw a much earlier spring planting season in 2020 and consistent demand from pre-plant, beginning in March through top dress applications into July. And lastly, industry realized acetone prices over refinery grade propylene costs improved in the second quarter tracking an improved supply and demand balance in the US following final affirmative anti-dumping duties, lower global penal industry utilization rates and increased downstream demand. As we stated post the anti-dumping duties, our focus has been to return to what we believe is good, fair and disciplined pricing in the marketplace. We've seen the continued expansion of the premium and small medium buyer acetone prices over the large buyer market through the second quarter has propylene costs declined. As a reminder, the small medium buyer price is reflective of roughly one third of the domestic industry where pricing is predominantly freely negotiated. Now, let me turn the call back to Erin.
Erin Kane: Thank you, Mike. I'm now on Slide 7 to discuss some industry considerations as we progress through the remainder of the year. As a reference, we're also sharing with you a breakdown of North American industry demand as well as our own 2020 estimated sales mix to provide some context around our exposure to various end users. Starting with nylon, we've continued to see weak demand resulting from the challenges across its consumer-oriented end markets. Carpet, which is the largest nylon end use in North America remain structurally weak and has been impacted by unfavorable building and construction trends in the wake of the pandemic, particularly on the commercial side where nylon has a much stronger foothold. We previously discussed the consumer preference of hard versus soft flooring and that impact on the residential market, but we do continue to monitor the pace of recovery in both existing home sales and housing starts. On the positive side we have seen stabilization in industrial production for carpet and rug mills in the US. However, output does remain well below levels seen at this time last year. Engineered plastics is comprised of three end segments, consumer and industrial, electric and electronics and automotive. In each, nylon is preferred for its toughness; chemical resistance and surface finish qualities. Auto represents approximately 60% of nylon 6 demand in the EP sector and here demand has remained sluggish on declines in global production. However, we have seen improvement out of Asia as China's economy reopened prior to the US and Europe. Nylon production overall has also been increasing in China sequentially on gradual demand improvement. Textiles, which is the largest nylon end use globally with manufacturing centered mostly in China, though is heavily reliant on the overseas market and has been impacted by retail activity. We see is tracking the opening and recovery of economies and consumer confidence. Conversely, food packaging demand for nylon has remained robust. So overall, we did see a sequential improvement in nylon demand, which was down roughly 30% at the start of the second quarter compared to prior year and exited down roughly 15%. Into July, we're seeing demand further improve sequentially, particularly out of Asia, and we are now approaching our pre-COVID sales volumes. While we're pleased that volume and demand is returning, there is a temporal unfavorable mixed consideration as we place products where demand exists. At the same time, we're taking a forward perspective by focusing on asset flexibility, new product and application development and customer qualifications to position the product portfolio for sustainable performance, align with end users that are having more favorable long-term outlook. Let's shift to ammonium sulfate, as we've described at this time each of the last few years ammonium sulfate prices are typically strongest during the second quarter domestic fertilizer application and then have a seasonal pricing decline into the third quarter as a new season begins, meaning that we are now in the new 2020 to 02021 North America fertilizer season, which runs from July through June. We've included in the appendix of our presentation this morning, a slide we previously shared, highlighting the seasonality in this business line, including the average industry price change for Corn Belt ammonium sulfate by quarter. On average, we've seen industry prices in the Corn Belt decline about 11% from the second to third quarter. And while there are always a range of results across the quarters, depending on the environment in any given year, we've seen sequential declines into the third quarter in every year since 2010. As a reminder, this normal seasonality is reflected in both a geographical and product sales mix consideration. In the third quarter we will have higher standard rate product sales into export markets as compared to a greater granular sales domestically at the height of the North American season in the second quarter. In total as a result of this seasonality, and that ammonium sulfate sales are treated as a net back to the cost to produce caprolactam, we typically see a sequential consideration of $10 million to $15 million higher COGS or cost of goods sold on average in the third quarter. Overall sulfur demand remains robust as a key nutrient for crops supporting yields. However, we're monitoring key indicators into the new season still, including crop prices, which has been relatively muted, potential reduction in planted acreage estimates and global trade flows. The USDA is also forecasting multi higher ending corn stocks for the 2020 and 2021 crop year. Given these dynamics, we remain focused as always on positioning our ammonium sulfate products with the added value proposition of sulfur nutrition to increase crop yields. Moving to chemical intermediates, we expect the favorable acetone industry supply and demand balance to continue into the second half of the year. Acetone imports into the US have remained low for some time now, following the affirmative anti-dumping duties. We also saw phenol plant turnaround activity in Asia in the second quarter limiting acetone supply, and several producers in North American and Europe are expected to take planned plant turnarounds in the second half of the year. In addition to tighter supply, acetone demand has improved for several essential applications, including isopropyl alcohol or IPA used for hand sanitizer and other disinfectants, methyl methacrylate, MMA, which among other factors have seen increased demand for like screens being used as protective equipment and stores as well as solvents used in coatings. Phenol demand overall remains soft in the back of building construction trends and sluggish auto demand globally. Let me turn the call back to Mike to recap our outlook before moving to Q&A.
Michael Preston: Thanks Erin and I'm now on Slide 8. As Erin discussed, there continue to be puts and takes across the portfolio. We're cautiously optimistic with respect to the sequential improvement we've seen in demand overall, and continue to closely monitor any signals of change, particularly in the nylon end markets, which have been the most challenging. Operationally, we're continuing to support safe and stable operations, while adjusting our production output to changes in mix and demand. So while we're working to mitigate near term impacts of volume and fixed costs absorption as a result of COVID-19, we continue to maintain utilization rates above industry output by leveraging our global cost advantage. We now expect the pre-tax income impact of planned plant turnarounds to be approximately 32 million for the year. That's down about 3 million versus last year and down roughly 10 million versus 2018, which was the last time we executed a turnaround of our Kellogg ammonia plant. So we continue to optimize our planned turnaround schedules and drive efficiencies from the required buffer feedstock to the maintenance work through the restart of the assets. As we discussed previously, the third quarter is expected to have the largest impact for roughly 20 million, so our consideration in terms of our quarterly linearity as we finish out the year. From a cash perspective, we continue to expect positive free cash flow in 2020 despite negative free cash flow through the first six months of the year as we had anticipated. We have visibility to a number of tailwinds in the second half of the year relative to the first half, including a significantly lower CapEx run rate, working capital improvements, including anticipated overall inventory reductions and ammonium sulfate pre buy cash advances in the fourth quarter, and other cash tax benefits. We've highlighted our expectations for the midpoint of our previous CapEx range for approximately 85 million in 2020, which is favorable by roughly 65 million versus last year. We also continue to drive disciplined cost management across the organization including all discretionary spending. We're now targeting an approximately 15 to 20 million full year cost reduction versus the prior year and that includes indirect cost savings, managing people cost and other planed spin and logistics benefits. That's up from our previous expectation of 10 to 15 million for the year. And it's also in addition to benefits associated with our natural gas boilers. Through the first half of 2020, we've achieved approximately 12 million of savings as a result of our actions. And lastly, as a result of the CARES Act, we anticipate approximately 12 million of cash tax savings in 2020 and an approximately 6 million cash tax benefit in 2020 from the deferral of social security taxes. Now, with that Adam, let's move to Q&A.
Adam Kressel: Okay. Thanks Mike. Brandon, can you please open the line for questions?
Operator: Absolutely. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Chris Moore with CJS Securities. Please go ahead.
Chris Moore: Hey, good morning, guys. Thanks for taking a few questions.
Michael Preston: Good morning.
Erin Kane: Good morning Chris.
Chris Moore: Good morning. Just on nylon to begin with. So I think it was late '15 or sometimes '16 when there was meaningful global supply rationalization with caprolactam, which obviously helped EBITDA results in '17. Given continued softness and now in end market is it reasonable to – do you see that again at some point in time and maybe just talk to kind of what you see is the same and different between now and five years ago and why those expectations might or might not make sense at some point?
Erin Kane: Yeah, happy to and great question, one I think that's been on a number of people's minds given the sort of where ultimate spreads have been tracking really since the back half of 2019 as you have mentioned. And what we've shared previously Chris here is that – you're right, we saw similar trends for about 18 months, right, the back half of 2015 looks very much like the back half of 2019 and then we progressed through all 2016 really at depressed levels. At the time we had equated really to more breakeven variable cost types of type pricing on the global market. And we're in that same environment, right. We're now probably nine plus months or so. What we would share is at least now the spreads have stabilized. There was some uptick actually in late June into July, where perhaps the Chinese folks have actually moved from a loss position to perhaps kind of more of a breakeven or just sort of a very modest level above that. So those are signs that we're watching for sort of returned of their disciplined approach. But there are considerations, we haven't shied away from pointing out that the market is structurally long. And we do see a number of assets around the world that are running at significantly reduced capacity. Perhaps several players that have multiple lines down and those would be the ones that we would watch, just like we did back in 2016 for those that might not make it through situation. It's very hard to call, but again, I think the point that we've made in the past is that, right, wrong and differently, the industry does sustain the level for much longer than what perhaps would be –seem reasonable on paper. So we'll watch it. No announcements today, other than we can see where a number of players sort of in the rest of Asia population, even throughout parts of Europe are running at very low levels.
Chris Moore: Got it, that helps. Maybe you can just talk a little bit more about kind of some of the cost capital decisions and more specifically, the cost reductions that Mike talked about for the rest of the year and kind of specifically where there targeted?
Michael Preston: Sure, Chris, I'll take that one. As I indicated, we just – we've been tightening our belts across the board as you can imagine in this environment. And through the half – through the first half, we executed about 12 million in cost reductions. And that's from a year-over-year perspective. And that's just managing people cost, headcount and over time, discretionary spend reductions, such as like T&E, outside services, deferring or eliminating non critical maintenance. So really, again, across the board, about two thirds of the reduction is coming from operations, about another third, really through SG&A and a functional cost. And you can see that on the SG&A line from a year-over-year perspective, when you look at the financials. I do want to be clear the 15 million to 20 million is in addition to the savings we expect from the boiler investment. So this is over and above. However, I will say that some of the reductions will be temporal, some are structural and some are temporal. So we think about half of the reduction might be permanent, but we're going to continue to look for opportunities to drive as much of this being structural cost reduction to support in our business going forward. From a CapEx perspective you'll see the spin was down about 80 million, was down to 80 million in the second quarter, and that's down quite a bit from the first quarter of '20 as well as the second quarter of last year. We did complete our large growth and cost savings projects the boilers, the lifetime quality project as well as the R&D relocation, so we've sort of lapsed the spend to those projects. And we're just going to continue to exercise discipline really across the board in the second half. We're prioritizing our repair maintenance CapEx, but we want to make sure we do that while we ensure safe and stable operations going forward. So when you think about second half versus first half, the first half CapEx was 52 million, we expect the spend in the second half to go down by 30 million, that'll get you to the 85 million from a full year perspective. And importantly, we'll support free cash flow generation in the second half. But I also want to be clear that we continue to progress our healthy high return growth and cost savings project pipeline. Some of the larger ones that we've highlighted and executed against have been completed. More of the ones going forward will probably be a little bit smaller. But again, we'll only execute those if the returns are there, and if the IRRs meet our hurdle rates, so that's how we're thinking about it going forward.
Chris Moore: Got it, all right, I appreciate that. I'll jump back in line. Thanks, guys.
Erin Kane: Thanks Chris.
Michael Preston: Thanks.
Operator: Our next question comes from David Silver with C.L. King. Please go ahead.
David Silver: Yeah. Hi. Thank you. So I have a couple of questions. Maybe let's just start on ammonium sulfate. So firstly, thank you for including the seasonality pricing chart, very interesting. I may have missed this, but just a clarification. So the 11% third quarter decline in ammonium sulfate pricing on a sequential basis, is that kind of apples to apples. I mean, is that the same grade of ammonium sulfate? Or is that 11% represent maybe a blended price that reflects maybe the shift between, I don't know granular and standard product. So is that benchmark or has that been adjusted to reflect the reality with maybe how your sales mix trends.
Erin Kane: And I'll – great one, if we – if you're talking about the chart in the appendix, David, that is specific to granular ammonium sulfate. So it's all the same type same grade.
David Silver: Okay.
Erin Kane: And especially just as a reference into the Corn Belt region.
David Silver: Got you and I know that there's been a new supplier who started up production recently in ammonium sulfate in North America. How would you say the effect of that has been on the overall market? In other words, has it been kind of orderly or maybe disorderly? I mean, how would you say that the new product has been distributed or marketed relative to expectations maybe?
Erin Kane: Sure. Yeah. And you're referring to the Nutrien, Redwater plant that was brought online, just maybe a few points of data here to clarify right. So they added approximately 350,000 metric ton, which just doubled their capacity to roughly 700,000 metric tons at that site and as we had talked about that added roughly about 10% more granular as to sort of the total North American situation. Now, sulfur, we have continued to see grow in demand, right. Sulfur is growing 3%, if you will, we've pointed out in the past tubing granular growth for AS in Brazil alone had been looking more like 18% growth over the last several years. We talked about that on a webcast, so I joined with Vincent not too long ago. So we do see good growth in these product lines. And Nutriens are very large market participants. So as we expected they would have used their supply lines, they would have used their current customer base and we see that that's exactly how they've entered the market as we would have expected. So one of the things we watch, we are still in that import markets as caprolactam rates have declined globally. That's one that we'll continue to watch. But obviously, they're – as we had indicated we had expected perhaps that that would ultimately flow through to be impacting what the US would need or North America would need to balance the market.
David Silver: Okay, great. I'd like to switch over to acetone and the chart in the rightmost panel on Slide 6 is very eye catching, with a divergence between the small buyer market and the large buyer. So A couple of things, but if you were drawing up a pie chart, so I imagine acetone markets could be driven by several factors, one might be the reduced imports related to anti-dumping. I personally think reduced phenol production or phenol demand has also dried up some supply. And then on top of that there's the demand boost for MMA, maybe related to the pandemic, which might be a little more structural going forward. If you were to kind of allocate 100% to those three factors, or maybe you have a fourth factor. I mean, what would you say the principal driver is? Is it a third, a third, a third, or is one of those factors more predominant in your view since the small buyer market started to strengthen? Thank you.
Erin Kane: Yeah. No, a great question as always, David and it's intriguing to maybe perhaps think about it as a waiting and we can give that some further thought for a later dialogue perhaps. But to give you sort of color directionally on where we sit, I would answer that in the fact that I think your points and observations on the first two factors are probably weighted more heavily than the third. So the meaning that the supply side with a contraction, right, coming through the second quarter into the third is certainly lending itself to a tighter balance if you will, on the supply demand side. And as you know, sort of imports have come way down. When you think about where we are sort of first half '18 – sorry '19 versus '20, we saw 18,000 tons brought in, in the first half of '20 versus 78 in the first half of '19. And as we pointed out and you rightfully noted, phenol demand and phenol utilization has been pulled back particularly through Q2. When you think about sort of the end users on phenolic resins being driven into building construction as well as automotive that ultimately tightens up the acetone supply. And then certainly there has been some boost on IPA and MMA. But as you know, IPA is only about 7% of the North American acetone demand, if you will for acetone. So, hopefully that helps you at least with a strong sense directionally that it is a supply side here. And as we noted in the kind of looking forward, we do think that supply side remains snug because we will have a series of back half turnarounds. The front half was sort of characterized more by turnarounds in Asia and then the second half really will be characterized by turnarounds in North America and Europe.
David Silver: Okay, great and just one more on acetone. Could you remind me when the large buyer market might re-price? In other words, is that purely an annual market maybe with a yearend renegotiate – effective date for renegotiated price or is some of it quarterly or customer-by-customer? How does that shake out where we might see the large buyer price move closer to the small buyer price? Thank you.
Erin Kane: Yeah. No and there's really two factors there to consider. In the large buyer market, the marker, if you will, or the index that gets published and settled between the buyers and the sellers is a monthly settlement. So the large buyer price does get settled monthly, so that's sort of factor one. Factor two, as you point out, is that typically in supply contracts there's a negotiated discount to that marker that is settled monthly. And that discount is predominantly negotiated annually and typically in the fourth quarter. So as the market dynamics can change that monthly settlement, we'll see that more real time, but then the discount negotiation will happen in Q4. Does that help?
David Silver: Yeah, got you, very good. I'm going to get back in queue. Thank you.
Erin Kane: Thanks David.
Michael Preston: Thanks David.
Operator: [Operator Instructions] Our next question comes from Vincent Anderson with Stifel. Please go ahead.
Vincent Anderson: Thanks and a nice quarter. So it sounds like packaging demand did well and I'm guessing that was a good test of your open partnership is there anything in particular that you wanted to highlight in your films business that you were able to observe in this quarter of improving demand?
Erin Kane: So I would say Vincent that really from my overall packaging comment that would relate to both packaging resins right. As you recall, we sell packaging resin as well as films and the packaging resin side is going into multi-layer films did extremely well. I think it's clear that packaged food, meat and cheese packaging just with the notion of many more people eating at home, shopping perhaps for longer stretches and in the supply chain considerations we saw packaging resin be very robust. Now, on the bulk of film side that is a – typical use as a single layer film and again, held up. But perhaps that does have some applications into, let's say book covers, even balloons and metalized other applications that that will track a little bit more to your sort of consumer-oriented purchases, but over well, overall good robust demand, it actually picked up in Q2. And one of the things that we continue to look forward is the industrial packaging segment, so this would be more – sorry, industrial where restaurants are buying more in large bags versus canned quantities and things like that. Hopefully, we'll come back as well as we see restaurants and institutions and others open back up.
Vincent Anderson: Okay, that's helpful. Thanks for that distinction there. And then you referenced the focus on optimizing nylon application mix, just curious if that's just a reiteration of your ongoing strategy or if there was anything in particular that you started to hone in on recently?
Erin Kane: No, great question Vincent and it's just re-articulation of what we've been focused on. We've talked in the past the corporate structural change is a need and driver for us to transform the end application portfolio. We've been focusing quite a bit on asset flexibility. You'll see that in our Q2 results and going forward, and that's really allowing us to meet demand where it exists, right, so being able to sell molten caprolactam into the market, plate caprolactam as well as more engineering plastics-oriented resin versus carpet resins. So we've been focusing on the assets at Chesterfield that have been predominantly in the past dedicated to carpet. One has been fully qualified now through to customers to make engineered plastics, resins. We've started working on trials and testing perhaps on some new textile resins. Again, just getting the flexibility out of our assets and how we optimize that product wheel to meet that forward demand. So when we talk about asset flexibility, hopefully that gives you a little bit more color in that regard. As we talked in the Q1 earnings, certainly the customer qualifications through this time period has slowed and where got a strong sales pipeline a targeted list of customers that we're growing with right in the compounding space. And just as a kind of reminder that compounding space again, it's not all automotive. We've seen some resilient demand, perhaps in electric and electronics. These are sort of auto end consumer and industrial. But our customers are just now getting back to accepting product for qualifications, running their assets well there from that perspective. So just a re-articulation, I think it's something we know is a key strategy. We have to get after just from the standpoint that while we have our temporal considerations in navigating the challenges current, there are structural considerations that we have to be prepared to address and that's where we're working towards.
Vincent Anderson: That's very helpful. Thank you. If I could just ask one more here, I appreciated the earlier clarity, Michael, on the split between the temporary and the structural components of the cost savings. But if I could ask about the operating level savings specifically has that been enough to offset call it negative operating leverage while the plants were running at lower utilization rates or are these savings been achieved despite that, and any operating leverage that comes back with a demand improvement would just be adding to it.
Michael Preston: Yeah. Yeah. I mean, as you look at the demand impact, I mean, as we discussed in the second quarter from a year-over-year perspective, volume was down 19% right, so that was a big number. And you can see, the end of the volume, the revenue decline was down, like 19%. And the impact from an EBITDA perspective was 19 million. So it's a little bit challenging, over that short-term time period to fully offset that. You'll see in the EBITDA walk, we have 11 million of savings of which a portion relates to the boiler investment, and then a portion relates to the 15 million to 20 million that we're talking about in terms of cost reduction. So we don't anticipate it to fully offset the sort of the volume impact and the decline from a year-over-year perspective. But as Erin mentioned we're starting to see better demand sequentially come through here as we get into the third quarter and that our utilization rates are improving particularly in nylon, as we continue to drive penetration in different applications and end markets there. And we're going to just continue to be very conservative on cost and managing costs overall to get us through this given the uncertainty. But not quite enough to offset the impact, right, from a value perspective, but we're doing whatever we can.
Vincent Anderson: Sure. I appreciate that. And if I could just maybe clarify one point that I actually was trying to make, maybe better for Erin. How do you think about the differentiation fees that come with operating the plant at these rates, less so maybe covering overheads at the plant, but the actual efficiency of the plant running at 65%, 70%, 75% rate instead of your targeted 90s?
Erin Kane: And no it's a great question. And certainly one – I think, David, maybe just to take it back a high level. And then and then come back to your point, in his morning note this morning kind of captured, I think the situation very well, in the sense that while we have seen sequential improvements, we're working to be agile. The outlook on macro trends remains kind of far from robust, right. But we do think that how we're operating and our results through the second quarter our reflection of our ability to focus and execute on what we can control. And yes, when we make our choices, we believe we're making prudent choices to our operating rates in the market context that we're facing. We have to weigh as you point the operating leverage and the fixed costs absorption against working capital builds perhaps. We have to weigh the challenges of perhaps reduced yields associated with different rates. But again, we do that analysis, we've been much more agile, I think in how we're approaching this. I share with others we've moved our sales inventory operations planning to weekly where we can make more real time decisions. And I think that is serving us well, as you say, there's always tradeoffs in this in this balance. We want to utilize and leverage our competitive advantage, but also recognize that we have to drive the best outcome across all measures right here for the right shareholder value.
Vincent Anderson: All right, thank you.
Michael Preston: The only thing I would add on that is when you look at our yields, I mean, as you – I think, really the – where the question is coming from as you have lower utilization rates and as you can have variability in that that could impact your yields and how and that could have a negative effect on the financials. And I'd say overall, when you look at it really hasn't impacted us a whole lot. We've been able to optimize the different areas of our plants. We have multiple areas and at Hopewell that we manage in getting those optimized and we've been able to more or less mitigate those impacts. And in some cases even improve on what we had planned to really optimize how we're running in this environment.
Vincent Anderson: Perfect, Michael, that's exactly what I was trying to get to. Apologies for the confusion, but appreciate all the additional context.
Erin Kane: No apologies required. Thank you.
Operator: Our final question is a follow up from David Silver with C.L. King. Please go ahead.
David Silver: Okay, hi. So this is kind of a question about maybe next steps and I heard the Erin loud and clear the current environment is far from robust. But a couple of things, I mean, first Erin, you've, been managing these assets either independently or as part of your parent company for a very long time. And I assume these assets like the back of your hand. And then it's also been my experience was carve outs or spin offs that have kind of seasoned industrial assets that there's often been some under investment and there tends to be some, I don't know, quote, unquote, low hanging fruit that the parent wasn't willing to invest in, but the newly independent company finds it in their interest. So you're coming towards the end of your gross and efficiency program, which I think captured a lot of those attractive incremental opportunities. But things have changed since you've been spun out. And I'm wondering if you had to make the next incremental kind of discretionary investment? Is there more kind of low hanging fruit? Or is there more? Are there more kind of attractive incremental investment opportunities? Should the environment become a little bit more normalized? Could you even further strengthen your low-cost position in nylon? One thing I thought of, I guess, to mitigate the issues with cumene supply, does it make sense to have some logistics or some additional storage capability for that product? I mean, that's just one example. But based on your long history with these assets, in your opinion, what remains to be done that could be done high return, quick payback type of opportunities. Thank you.
Erin Kane: So we can talk through a handful of things here perhaps to sort of what's yet still in store. One, perhaps just to clarify on the growth and cost savings pipeline, when we had introduced the larger projects coming into last year, indicated that we had a pipeline of ideas ranging from an investment level of $150 million to $200 million that we felt were – had strong potential to meet our internal waterline for those returns. As you know, that we did execute a number of the larger ones and we said that those projects range and scope in scale and could be rather lumpy. So I think the first point is, we're not done with that pipeline, that pipeline continues to be reshaped. It continues to be sort of really thought through by our value stream teams and looking at opportunities. So you will continue to see – and actually our spend this year continues to include smaller projects associated with yield, energy, things of that nature that will continue to take the same nick away as the opportunities on the cost side and productivity side. We also have a few on the growth side, smaller in size. And we've talked about our oxime portfolio that is something that we will be looking to trigger here later in the year into next year that again, is a product line that continues to show good growth. We've got the drop-in replacement for Meiko with 2-PO. And so you'll continue to see opportunity in those regards. And you can look for us to clarify – I think how that pipeline shapes up in the coming quarters, right. We're working through that in our strategy sessions and focus for next year, but don't count that sort of lever out, right. One of the things that we've also talked about in the past that we continue to work on is, as a question you noted on ammonium sulfate. Granular growth is something that we see globally, right. So how will we look to address growing in granular ammonium sulfate, right? It's still on the list and things we need to address from that standpoint because of that value optimization, we get over standard, and just from the growth potential in the marketplace. And as we noted we're investing in the soybean research, so field trials continue to go well, so that continues to be an area. As we've noted previously that is still a forward perspective. So kind of the first, as you noted, and I think we've talked right around how do you release opportunity associated with buffer stocks or potentially sort of your interactions between the plants. We work to run a lean and efficient supply chain, but as all these unit operations kind of play out unlocking potential through storage. I think you had commented while I had thought about that one is one of continual optimization, right. And we did note that post the PES situation and realigning our supply chain that we wouldn't need to make an investment again to make sure that we had that security supply on cumene underway. And in the forward view, we really are taking an opportunity to – as we pointed out, you can think about this business right in a linear fashion right, we make phenol and acetone and then we make caprolactam and ammonium sulfate and we make nylon 6, and I share it if you kind of turn that inside out and draw sort of the business is slightly different right. We have ammonia-based chemistries, we have sulfur-based chemistries, we have phenol-based chemistries that allow us really to push on the innovation side within the company. And as you noted that those are muscles that have to be built. We've got the operational excellence, we continue to, I think, bolster that, but we recognize that innovation to drive growth is – that's why we've invested in the application development, reframing our R&D team, but recognizing that was going to give us mid to long-term growth as we build those muscles. So hopefully, there's a little bit more of an umbrella there for you to think about the avenues, right that we're facing and driving for the medium to long term.
David Silver: Very comprehensive, thank you, appreciate it.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Erin Kane for any closing remarks.
Erin Kane: Thanks Brandon and thank you all again for your time and interest this morning. In such a dynamic time, our results this quarter again demonstrated the strength of our business model. We have a great foundation to build on in the face of these near-term challenges. And I know that each member of our organization is focused on executing what is in our control and delivering for our customers. Our competitive position gives us the confidence and flexibility to drive value creation for all of our key stakeholders over the long term. So with that, we'll look forward to speaking with you again next quarter. Do stay safe and be well.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.